Operator: Good day, ladies and gentlemen, and welcome to the ManTech First Quarter Fiscal Year 2016 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, today's program is being recorded. I would now like to turn the conference call over to your host, Judy Bjornaas, Deputy Chief Financial Officer. Please go ahead.
Judith Bjornaas: Thank you, Jonathan, and welcome, everyone. On today's call we have George Pedersen, Chairman and CEO; Kevin Phillips, Executive Vice President and CFO; and Dan Keefe and Bill Varner, our two Group Presidents. During this call we will make statements that do not address historical facts and thus are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to factors that could cause actual results to differ materially from anticipated results. For a full discussion of these factors and other risks and uncertainties, please refer to the section entitled Risk Factors in our latest Form 10-K and our other SEC filings. We undertake no obligation to update any of the forward-looking statements made on this call. Now I'd like to turn things over to George.
George Pedersen: Good afternoon and thank you for participating in today's call. In the first quarter ManTech performed well by providing revenue growth, strong earnings and excellent bookings. We received $491 million in contract awards in Q1 which represents a 1.3 times book-to-bill. This marks our fourth consecutive quarter with bookings at or above 1 times. We had strong cash flow as well, collecting $29 million in cash flow from operations. As we have said before, we are experiencing strong budgetary environments in years – the strongest budgetary environment in years. There is greater certainty around funding and our business opportunities continue to grow. We're seeing a more consistent flow of contract awards. While we believe it is likely we will see a continuing resolution in October of this year, we should see approval of the 2017 budget in a reasonable fashion. The level of overall threats to our nation is not going away any time soon. We see a stable increased budget environment beyond 2017. We have over $60 million in cash in the bank and a $500 million line of credit. We are in a strong position to make acquisitions to grow the company. We are focused on acquisitions having capabilities to take us to high-demand markets. We are actively reviewing several promising candidates. Now, Kevin will provide you with details about our financial performance and outlook. Kevin?
Kevin Phillips: Thank you, George. I am pleased to see year-over-year growth in all our key metrics and continued strong performance in winning new business. Revenues for the first quarter were $391 million, up $20 million or 5.5% compared to the first quarter of 2015, and up about 1% organically. Direct labor was up 3% sequentially and up 10% year-over-year. We are growing our direct labor base and expect increasing demand for the capabilities we offer our customers. Our support for overseas contingency operations contributed $27 million which is down about $2 million from the fourth quarter. As anticipated, strong contract award activity and the resulting ramp up on these important programs will support sequential growth in the second quarter. For the quarter, signed contracts represented 88% of our revenues. Contract mix was essentially unchanged with 68% of revenues on cost-plus contracts, 13% on time-and-material contracts and 19% on fixed price contracts. Operating income for the quarter of $21.9 million was up 11% from the first quarter of 2015. Quarterly operating margin of 5.6% increased 20 basis points year-over-year. Net income was $13 million and diluted earnings per share were $0.35 for the quarter which is up 12% and 13%, respectively, compared to the first quarter of 2015. Now on to the balance sheet and cash flow statement. During the quarter we collected $29 million in cash flow from operations, or 2.2 times net income. DSOs were 72 days for the quarter, an improvement of 15 days compared to the first quarter of 2015. Our balance sheet at quarter-end shows $60 million in cash and no debt. We will continue to strengthen the balance sheet while we move ahead on our focused acquisition activity. We are prioritizing acquisitions for capital deployment and are actively identifying companies whose customers and capability sets fit our criteria. The board has authorized us to maintain our current dividend level of $0.21 per share to be paid in June. Turning to business development, bookings for the quarter were $491 million representing a book-to-bill of 1.3 times, our highest Q1 book-to-bill since 2008. Approximately 30% of the bookings were for new business. Total backlog at the end of the quarter stood at $4.2 billion and funded backlog was $1 billion. Our total backlog increased 2% and funded increased 3% sequentially. Proposal activity remains high. We expect to submit over $6 billion in bids in 2016. Our total qualified pipeline is $16 billion and we have about $3 billion awaiting adjudication. We are reaffirming our 2016 guidance previously communicated in February. Before any acquisitions, we are calling revenues of $1.575 billion to $1.675 billion, net income of $52.5 million to $52.9 million and diluted earnings per share of $1.38 to $1.47. The implied operating margin guidance for the year is 5.6%. Net income and earnings per share are both expected to be up 2% to 8% from last year, benefiting from revenue growth and margin expansion. Cash flow from operations should be between 1.7 and 2 times net income. Built into our guidance are an effective tax rate of 40% and a fully diluted share count of 38 million shares. We are pleased with the improved market visibility. Our investments in business development continue to bear results and we are diligently staffing new contract awards while ensuring that we provide highly capable talent for our existing customers. Now, Dan will speak to our defense and federal civilian business. Dan?
Daniel Keefe: Good afternoon. We at ManTech Mission Solutions and Services continued to see strong win rates and bookings in Q1 2016 that validates the return on BD investments made over the last two years. Across the entire company, our trailing 12-month book-to-bill is 1.8 times. Of note, Q1 awards included over $100 million in re-competes which clears through some of our DoD-related re-compete risk in 2016. We also saw strong bookings and new work for ManTech that points to higher potential organic growth in the remaining quarters of the year. The business continues to increase our technical solutioning capability on emerging requirements around big data analytics, predictive modeling, cloud deployment and enterprise IT. These solution sets have been able to increase positioning across the business, but particularly in our FedCiv and health IT business, which has shown clear directional success in a relatively new market for ManTech. With respect to work overseas, the OCO revenue remains stable as U.S. force levels are expected to be maintained through 2016 in Afghanistan. Our Royal Saudi Air Force contract, awarded last quarter, now has over 200 full-time ManTech employees with a projection to grow up to 100 in Q2 as we continue to ramp up that program. I fully anticipate continued success in 2016 built on our management team's strong credentials in the market, continued focus on building our technical capabilities to solve the customers' hardest problem sets and a strong business development and sales process targeted on winning new business. Bill?
Daniel Keefe: Thanks, Dan. The Mission, Cyber and Intelligence Solutions Group continues to be positioned well within a robust market with significant opportunities in cyber, full-spectrum security and IT consolidation. As I mentioned on last quarter's call, cyber is a key component of the President's FY 2017 budget request. The $19 billion Cybersecurity National Action Plan request to improve the government's information security underscores the importance of cyber. Furthermore, there are talks of U.S. Cyber Command potentially elevating to a separate combatant command. We believe all of this positions MCIS for continued organic growth across the intelligence community and our customer set. We are focused on winning new work and have submitted many proposals in Q1 with expected adjudication later this year and in 2017. In the first quarter, we've remained focused on our ability to attract and retain the strong talent needed to support our customers' missions. We see many growth opportunities in both current and new programs and are focusing our technology investments in areas that will support our cyber range, our DHS CDM program and in the relatively new area of space resiliency. We continue to see requests for cyber security support from customers not traditionally associated with cyber, as well as our traditional cyber customers. Cyber is increasingly becoming a component of every program, which bodes well for ManTech. George?
George Pedersen: In summary, our market continues to be stable and ManTech is positioned to grow based upon strong awards and our Q1 results. We look forward to leveraging our strong balance sheet to accelerate our growth. With that, we are ready to take your questions.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Brian Kinstlinger from Maxim Group. Your question, please.
Brian Kinstlinger: Great. Thanks so much. Nice bookings and organic growth. Nice to see that return. Can you comment on the pace of awards currently given the timing of the Appropriation Bill? And do you expect an accelerated pace in the June quarter or a similar pace in the June quarter versus the March quarter?
Kevin Phillips: Broadly, the proposal volume the requirements are fairly heavy and remain heavy for the balance of this year in our view. The contract award activity, I think, remains also on pace, similar to Q1, so I think that they've got a routine going and it totally depends on whether they're going to be able to get things done in the timely fashion or extend a little bit. But generally things are moving on a relatively good pace.
Brian Kinstlinger: So would you characterize delay that we've seen over probably a decade at one of the lowest points in a long time? Is that an accurate statement with the flow of awards?
Kevin Phillips: My view is it will be at or quicker, depends on the customer set, and I'll let Dan and Bill answer to their specific customers. Dan?
Daniel Keefe: Yeah. It does very much, Brian, depend on the customer set. But generally as you alluded to, it certainly is a lot different than it was two, three years ago.
William Varner: And, Brian, in the intelligence community, I think we're seeing a very, very good pace of awards, much better than it was two or three years ago, so hopefully we're out of that time period now.
Brian Kinstlinger: Great. Then the industry, it sounds like it's moving away from LPTA. If I look at the last five or six years, ManTech's operating margin has been hit from its peak a little bit more than others. I think that also includes the shift towards cost-plus. I guess I'm thinking about when I look – if I look at the second half of 2016 and even 2017 and 2018, do you think there is opportunity for ManTech to narrow that gap of where your margin has been hit to given that ease of pressure potentially?
Kevin Phillips: Well, I think for this year, we're very much focused on continuing to invest in business development, recruiting, retention, technologies to make sure that we can sustain the success on the top-line we're starting to see in terms of awards. Going into out years, I think a lot of that depends on the overall mix of business we receive in what customer sets, but I do think in out years that there is potential for some bottom-line expansion as we continue to see success in our contract rewards.
Brian Kinstlinger: Great. Last question. On the new work that you've won, not just this quarter but maybe the last nine months or 12 months, how would you characterize pricing or total contract value versus maybe efforts in 2014 and 2015?
Kevin Phillips: Again, the pricing is very customer dependent. I would say in some customers they are much more focused on finding the right talent, rather than saving money for the sake of saving money. That's not universal though. It totally depends on the customer and their budget. The other item of note is we are seeing, specifically in Dan's operation, [indiscernible] RFPs that are coming out, getting back to a more normal level or period of performance. So I'd like to ask Dan to speak to that because...
Daniel Keefe: Yeah. I think that's – the important point there, Brian, as you talk about the contract flow getting back to a more normal pace, it makes a heck of a difference in the contract shop if it's five-year contracts versus two-year contracts. And in the armor we saw a lot of two-year contracts, those now are seemingly moving to three, four and five years.
Brian Kinstlinger: Great. Thanks so much, guys.
Operator: Thank you. Our next question comes from the line of Tobey Sommer from SunTrust. Your question, please?
Unidentified Analyst: Hey. This is [ph] Ray Long filling in for Tobey. Congrats on the quarter. Just following up on the pricing, can you just talk about are you seeing with the trend of customers finally moving away from LPTA? Is that accelerating or decelerating? Any comments on that?
Kevin Phillips: What I'd tell you, [ph] Ray, is that I think there is a realization that people are not commodities. And in some cases we're seeing a move away from LPTA. That's not to say, though, that a number of the customers have pressures on their budget across the board that price is still an important consideration on many awards.
William Varner: And this is Bill. Even though LPTA has not been as prevalent in the intelligence community as it has been in other places, we are seeing, let me say, less emphasis on price. You know price will always be a factor. I don't think there will ever be an RFP that doesn't have price in there somewhere. But it's more of finding the right people, the right solutions, the right technologies and then is the price reasonable.
Unidentified Analyst: Okay. Got it. And on the hiring environment, what are you anticipating for your head count growth this year? And what are you guys doing to keep and attract talent?
Kevin Phillips: So we've had strong amount of contract awards that – frankly, we're very focused right now on the recruiting and retention aspect, especially on the Intel side, and making sure that we get at or above the normal work share of the split between ourselves and our partners in that level of work. But it is focused on the customer sets we're in and the awards. And I think that the best response should come from Bill [indiscernible] because of the focus he has got on that.
William Varner: Sure. So we look at retention and recruiting very carefully. For that matter it's probably my number one priority finishing 2016. We have numerous recruiting – I'm sorry, retention efforts underway. We are focused – we focused our efforts specifically looking program-by-program and what the needs of a particular program, particular customer are. And in order to help with that, we have completely revamped our recruiting staff over the last year so that we think we have the – one of the best recruiting staffs in the community and working very, very hard to treat recruiting and retention as critical to our success which they are.
Unidentified Analyst: Okay. Great. And just a quick one on the M&A pipeline. You mentioned previously that you see a lot of potential opportunities out there. But there hasn't really been any that you wanted to move on yet. Has that changed at all?
Kevin Phillips: I think the pipeline is still there just like we've mentioned before. There are some large ones out there. There are some smaller ones. The mid-sized ones are a little bit more sparse. But we still focus on the combination of the business, putting us in new markets, new technologies and how to take the combination to expand and go after the larger procurements as a prime contractor and position us long-term. That hasn't changed. So I think the overall profile of what we're looking for has not changed even though there is a wide range of opportunities. Sir?
George Pedersen: You've heard us say before that when we look at acquisition candidates, we will not buy sales. There has to be new technology, new customers, new contractual vehicles or some way to provide a force multiplier, we will not simply buy sales.
Unidentified Analyst: Great. That's it for me. Thanks.
Operator: Thank you. Our next question comes from the line of Amit Singh from Jefferies. Your question, please?
Amit Singh: Hi, guys. Great quarter.
George Pedersen: Thanks.
Amit Singh: Just quickly on the re-compete part of the business. I believe this year the re-compete rate was expected to be slightly higher or higher than last year's. So just trying to get a sense of, for the rest of the years, what percent of your revenue do you think is coming up for re-compete?
Kevin Phillips: Yeah. And that's a good question. So if you noticed in our press release and in Dan's statement, we do have better visibility for the balance of this year for existing work. We have won a few re-competes but also, and as importantly, we've received extensions on a few programs as well and that reduces the overall exposure. If you recall last quarter, when we spoke, we said about $1.3 billion was in backlog and that was an 80% visibility against the current work and we're at about 85% now visibility. So that re-compete level has gone down. But there still are a fair amount of back-end loaded second half contract awards specifically in the army side, non-MRAP army that are factoring into our overall outlook because we've got to make sure we get through those and they're still cost sensitive. And those are the ones we're focused on.
Amit Singh: All right. Great. And is there any way to sort of give some quantitative effect on how much of your revenue or what percent of your revenue is sort of coming from the intelligence end-market?
Kevin Phillips: Broadly between 40% to 45% of our revenue comes from the intelligence community. Broadly between 40% and 45% comes from DoD. And the balance comes from FedCive, federal, health IT, although it totally depends on the quarter, where we're getting some contract awards. And I think that we're having better success getting contract awards from the federal civilian and federal healthcare market. And I just want to have Dan speak to that because that is an area that we've been focused on for a while.
Daniel Keefe: As you may recall, we invested heavily in the health IT market and we're starting to see some success there. And then in the DHS market, as Mr. Pedersen mentioned, we – acquisitions sometimes go for contracts or customer space and that's what we did. We've invested in DHS and we've seen some good success there.
Amit Singh: All right. Thank you much.
Daniel Keefe: Thanks.
Operator: Thank you. Our next question comes from the line of Robert Spingarn from Credit Suisse. Your question, please.
Robert Spingarn: Hi. Good afternoon. Kevin, could you just tell us what the organic growth embedded in the guidance is? Maybe the best way to do it is at the two ends of the range or in the midpoint?
Kevin Phillips: Yeah. Midpoint is 3% and the range is from 0% to 8% organic.
Robert Spingarn: Okay. And are there any other particular programs that gets you to that 8% or down to the 0%? What are the levers?
Kevin Phillips: Yeah. The levers on the downside are specific to these army-related procurements. Because we have a healthy run rate, we've got a good contract award activity and the timing of those awards and our success in and around retaining those. The upside is very much based on the pipeline that we have. So we have still $3 billion proposals outstanding and the customer's ability to continue the movement on those, are maintaining the win rates that we're starting to see. And basically continuing a high volume of contract awards and ramping those up, which is why we have a heavy focus on the staffing on that as well.
Robert Spingarn: Okay. And then just a high-level one for George. George, obviously you've got a great sense of Washington, what's going on in and around the beltway. As we go into this presidential election, assuming that we get – the most likely candidates come through here, how do you think the environment evolves for ManTech and for the industry in general?
George Pedersen: I think the biggest change occurred in past months when they stopped looking at the government procurement process, totally looking to cut it. Right now you have a continuing resolution that takes us to the end of the current fiscal year. There will be an Appropriation Bill, so we see a much more balanced and reasonable approach to what that funding will be. The threat has not gone away. We won't get into that. So I don't see the business going down by any scale. I'm not telling you it's going to double in size, but it's certainly not going down.
Kevin Phillips: And internally, in terms of the CR in early 2017, we're assuming budgets will be flat to up in the markets that we support and clearly, they have key needs in areas of cyber and certain intelligence areas that – as well as federal health that [indiscernible]...
Robert Spingarn: Are you starting to hear any ground level commentary locally about what we might see under certain administrations? I realize we're predicting the future here, but we're getting to the point where we kind of have an ability to do that.
George Pedersen: It's very hard to distinguish the comments coming from the various participants in this. In some respects they're all saying the same thing. But for the moment, this is the most calm, cool, collected environment we've seen in a number of years. Kevin, am I saying that right?
Kevin Phillips: Yes, sir. Right on. And I think on the congressional level, they know that there are national security needs and I think there is a broad support on both sides of the isle to make sure that we protect the nation.
Robert Spingarn: Yeah. And I think that's evident in your numbers. Yes, thank you very much.
Operator: Thank you. Our next question comes from the line of Gautam Khanna from Cowen & Company. Your question, please?
Unidentified Analyst: Thanks, this is [indiscernible] on for Gautam. I had a couple of questions for you. On the bookings front, normally you're seasonally stronger in Q2 and Q3. You had great awards in Q1. Was there anything that surprised you or came in early? And should we expect awards to seasonally tick up from this level? And then I have a couple of follow-ups.
George Pedersen: Sure. Nothing surprising. Just the surprising thing is the ordinary procurement flow and not timing of awards, and I do expect that we'll continue to see a fairly steady pace of contract awards. Actually maybe a more level across the years now that the government agencies have certainty around the budgets and the ability to procure and that they can make decision.
Unidentified Analyst: All right. Great. And then on the in-theatre work, you called out $27 million in Q1, is that the correct run rate throughout the year or does it step-down sequentially again in Q2 and Q3?
Daniel Keefe: Yeah, this is Dan. That's – we expect that to stay level for the year.
Unidentified Analyst: Okay. Got it. And then just one last one. On the work that is still sort of out there to go get to get you sort of above the 3% guide, is there any large contracts in there? Is there any one or two awards that could really swing that, or is it five or six smaller items?
Kevin Phillips: Well, let me say that smaller – I don't necessary think is right. There are no one large set of contract awards that will swing us that way. But I would note that we've had a larger amount of contract bids of higher size that we're going after. So I do think that we may see more successful awards on higher bids.
Unidentified Analyst: All right. Great. Thanks very much.
Operator: Thank you. Our next question comes from the line of Edward Caso from Wells Fargo. Your question, please.
Tyler Scott: Hey there. This is actually Tyler Scott on for Ed. Thanks for taking my question. Last quarter you highlighted a couple of factors to get you to the high-end, low-end of guidance. You've obviously touched on sort of the re-competes. Has there been any change in the pricing pressure or a reduced scope? I think you called those out as potential headwinds this year. I just was wondering if visibility had improved after Q1?
Kevin Phillips: Again, it depends on the customer and the demand or the efforts. I think the pricing pressures still reside in some customer sets. They're relieving a little bit in others. So again, it's very customer dependent.
Tyler Scott: Okay. And then sort of the bookings have obviously been very strong as you've talked about. Have you seen any change in how those are converting to revenue? I know you said you're going to get to sequential growth next quarter. But is that – should we expect that to continue? Should we see these awards kind of keep ramping up over the year?
Kevin Phillips: My view is we should and expect to see some sequential growth. A lot of it is depending on the staffing, the timing of staffing with customer sets. And frankly, if they want to burn off existing work on current programs before they transition. [indiscernible] said, I'll let Bill and Dan answer.
William Varner: Yeah. So I think that that's absolutely the correct answer. So many times it seems like when – even when there is a large contract win, the ramp up is a little bit slower than anyone anticipates. And sometimes that's because the government just wants to ensure a very, very smooth transition. We do build that in, in our planning so most of it is anticipated. But I think we'll, as Kevin said, I think we'll see continued strong contract awards. I think we'll see the ability to stack those and move forward in that direction.
Daniel Keefe: I'd...
Tyler Scott: Great. And then – go ahead.
Daniel Keefe: I'd just add that I have the ramp up that I'll do in Q2. But as Kevin has already mentioned, I've also got that headwind of re-competes now we've got to get through in Q2 and Q3, but I feel pretty good about it.
Tyler Scott: Great. And then just what level of new awards are assumed for the remainder of the year? So I know you said you had 88% visibility. So is the 12% new work or some of that re-competes?
Daniel Keefe: No, no. If we look about the revenue that has come from new, new business awards, again, depending on the ability to sustain the re-compete on win rates...
Tyler Scott: Right.
Daniel Keefe: And that's between 3% to 5% of our overall midpoint.
Tyler Scott: Okay.
Daniel Keefe: It's not huge, but it's also – it's out there.
Tyler Scott: Great. All right. Thank you very much.
Operator: Thank you. Our next question comes from the line of Bill Loomis from Stifel. Your question, please.
William Loomis: Hi. Thank you. Just, Bill, from your comments on no delays on the Intel side, at the current Analyst Day, reorganizations having no impact on your programs or awards flow.
William Loomis: Well, Bill, I think the way to answer that is that the current reorganization, at least that we've all seen in the newspapers, hasn't actually occurred yet. So we do not expect to see too much. We did see some delay from the other intelligence community customers' reorganization. So it wouldn't be a surprise if there was a little bit of confusion and temporarily people not 100% sure who they're reporting to, just as in the case of many reorganization. But we don't – we're not anticipating major chaos of any time due to that reorg.
William Loomis: Okay. Great. And, Kevin, did you say direct labor was up 10% year-over-year?
Kevin Phillips: Yes. I believe it was 10%.
William Loomis: So just direct labor up 10%, your gross margin down year-over-year; what's the driver there? I mean normally when we see the direct labor higher, we see higher margins. And then also organic growth was up 0.8%. So did you have some work that you lost that was subcontracted? Or you had subcontractors than you have direct labor?
Kevin Phillips: Well, in terms of the overall margin, we're still dealing with prior bids that happened as far back as two years ago, working through this system as we win them at the overall rates that we bid at the time. So I think that we'll see that for the balance of this year. But we are gaining market share that will allow us as the current procurement cycle picks up to see potentially slightly higher returns in the out years.
William Loomis: Okay. So I mean – so the direct labor was up 10% staffing older bids that had lower margin in a tougher bid environment. Your current cycle thinks that you're getting awarded in the future are going to be higher margin. Is that what you're seeing?
Kevin Phillips: It depends on the bid, but yes, generally they're going to be higher. The government, as you know, still is very focused on negotiating fee and the like. But I do think that going out as the supply and demand continues to shift and we may be able see some movement upward off of that. And in out years I think that we would like to see that.
William Loomis: Okay. And then just one thing on acquisitions. I know you're looking at new customers' capabilities, vehicles. But are you – is it just federal market that you're looking at? Or are you looking international and commercial? Or is it just federal?
Daniel Keefe: It's federal.
William Loomis: Okay. Great. Thank you.
Operator: Thank you. And this does conclude the question-and-answer session of today's program. I'd like to hand the program back to Judy Bjornaas for any further remarks.
Judith Bjornaas: Okay. Thank you, Jonathan. As usual, members of our senior team will be available for any follow-up questions you may have, and we thank you, all, for participating on today's call and your interest in ManTech.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.